Operator: Good afternoon. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the Veeva Systems Fiscal 2016 Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. I will now turn the call over to Rick Lund, Veeva's Investor Relations Director. You may begin your conference.
Rick Lund: Thanks Mike. Good afternoon and welcome to Veeva's fiscal 2016 third quarter earnings call for the quarter ending October 31, 2015. With me on today's call are Peter Gassner, our Chief Executive Officer; Matt Wallach, our President; and Tim Cabral, our Chief Financial Officer. During the course of this conference call, we will make forward-looking statements regarding trends, our strategies and the anticipated performance of the business. These forward-looking statements will be based on management's current views and expectations and are subject to various risks and uncertainties. Actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-Q, which is available on the company's website at www.veeva.com, under the Investors section and on the SEC's web site at www.sec.gov. Forward-looking statements made during the call are being made as of today, November 24, 2015. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but will not provide any further guidance or updates on our performance during the quarter, unless we do so in a public form. On the call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our web site, and as an exhibit to the Form 8-K filed with the SEC just before this call. With that, thank you for joining us and I will turn it over to Peter.
Peter Gassner: Thank you, Rick. I am pleased to report another solid quarter, with revenue above our guidance. We expanded our business, while delivering profit margins that are among the best in class software. Total revenue in the quarter was $106.9 million, up 28% year-over-year. Subscription revenue was $81.7 million, up 33%, and we delivered a non-GAAP operating margin of 26%. We had great execution across the board and we are seeing the real benefits of our expanding solution set that addresses multiple large markets. In Q3, we closed significant deals in many of our newer areas. We had our first major win through Vault Study Start-Up in the clinical area, Vault Submissions and Regulatory and Veeva KOL Data in our data segment. These deals are a great indication of our growing traction in major new segments. Through customer success and product excellence, we are increasingly the go-to-vendor for the industry to help them address a broad range of challenges and opportunities. As a result of our continued growth across multiple areas, non-CRM revenues surpassed 25% of total revenue in the quarter, with growth that is north of 100% on a year-over-year basis. Much of this growth is being driven by Veeva Vault. We believe Veeva Vault is on a path to becoming the de facto standard in the regulated content management market for life sciences. Legacy on-premise players are losing relevance. Our solutions are not just well positioned as an alternative, but are seen as a better approach to managing regulated content. 34 of the top 50 Pharmas are now using Vault in some capacity. They often start with just one of the Vault products, typically in a region or division. Success with these initial deployments provide the tremendous base from which we can grow, and we are less than 5% penetrated in this market. So we still have a long runway ahead. We see this in commercial and also in R&D, where we gained significant momentum in a relatively short time. We just held our second R&D Summit in November in Philadelphia. Attendance was up 50% from last year. The following week, our European R&D forum attracted twice the number of attendees we projected. The feedback from these events was overwhelmingly positive. There is excitement around the innovation and real sea [ph] change Vault is bringing about. Projects are fast , as much as four times faster than legacy projects and are delivered on time. Having an application that's highly intuitive, like Amazon or Facebook, is a revelation for our customers. The applications just fit their business. Customers are looking for a strategic partner across R&D as they modernize their regulated content management systems with cloud-based solutions. They are turning to Veeva as we continue to expand our capabilities across all three of our R&D pillars, clinical, quality, and regulatory. We announced three new products at the R&D Summit. We are expanding our offerings for regulatory, with the addition of Vault Registrations and Vault SubmissionsArchive. When combined with our existing Vault Submissions solutions, we get a powerful suite of applications through regulatory information management that we call Vault RIM. Vault RIM is a next generation regulatory information management suite that unites submissions documents, product registration, and helps store the interaction into a single source for all regulatory information. Our first deal for the full Vault RIM suite has already been signed with Emerging Biotech, ahead of its December release. Though a smaller company and an early adopter, the deal was still in the six figures because of the tremendous value we offer in helping align disconnected regulatory processes worldwide for greater speed, agility, and compliance. This helps to get drugs to market faster and is very strategic for our customers. Vault Study Start-Up, our newest solution for the clinical area, slated for release in December, is also off to a great start, with the top 20 pharma and a top-8 CRO early adopters. This new solution helps lifesciences companies manage the content and tasks associated with activating sites for clinical trials. This is a very strategic area for our customers as it’s crucial to getting trials done quickly and drugs to market. Vault Study Start-Up works seamlessly with Vault eTMF to ensure a single source of trial related content and greater efficiency in clinical operations. On the commercial Vault side, a key highlight of the quarter was the acquisition of Zinc Ahead, which we signed and closed in late September. We are very pleased with our progress and the positive market reception. Zinc and Vault customers are enthusiastic about the combination of Zinc's deep domain expertise and Veeva's strength in cloud applications and platforms, and customers are even more pleased as they see the opportunity to integrate the promotional materials approvals process with the broader capabilities of the Veeva commercial cloud. As planned, we have moved quickly to fully integrate the teams, define the migration path for Zinc customers, and capitalize on the tremendous reputation Zinc has in the industry. Training of the Zinc team on the Vault products is complete, and the combined sales organization is actively selling and winning business. We also clearly define the migration path to move Zinc's existing customers to Vault Commercial over the coming years. Overall, we believe that the Vault opportunity is at least as big as CRM, and Vault's revenue is on a pace to grow well over 100% this year, just as CRM did at this phase in its evolution. We see a very long runway for Vault's growth. Turning to CRM and the CRM add-ons; demand for multi-channel CRM remains a strong, steady tailwind for us. Our customer's success here provides a great foundation from which we built within organizations. Since the beginning of this fiscal year, we have added 28 brand new CRM logos, many of them are emerging biotech companies commercializing their products for the first time. Our large global deployments are expanding to more regions and divisions, and we are progressing our relationships with the top 20 pharmas that are not yet Veeva CRM customers. There is steady demand and continued momentum building with our CRM add-on products as well. For example, Veeva CRM Approved Email’s attach rate grew to 14% in the quarter, driven by many large regional purchases. We are also seeing a strong uptick in the interest for Veeva CRM Event Management, due to increased interest in the compliance capabilities the product delivers. We had great progress with our data business in the quarter. In addition to signing our first seven figure KOL data deal, we also won two significant Veeva OpenData deals with top 50 pharmas. One was a large deal to replace an incumbent legacy data provider in the U.S. We also signed our biggest data deal to-date in China, where we are emerging as the clear market leader, and we are making great progress building our Veeva OpenData offerings in Europe, where by early December, we will have customer data for all of the top five European markets. Progress with the network continues. In Q3, we saw two top 50 customers begin to roll out Veeva Network concurrently with their CRM deployments. Looking at the big picture for commercial, it’s clear that customers are recognizing the power of Veeva Commercial Cloud. This is fueling strong steady growth for Veeva. By getting an integrated suite from Veeva, CRM, Content Management, Master Data Management and Customer Data, they can be more efficient and effective. They can be more agile. This agility is seen as a competitive advantage. In fact, customers have commented that Veeva's commercial solutions help ensure speed in mergers, acquisitions, and spin-outs. We had a fantastic quarter, that highlighted multiple sources of long term growth for Veeva. We continue to reinforce our clear market leadership in CRM, and make great progress advancing Vault, which we believe can become the de facto standard for regulated content management and lifesicences, and we had key wins in our data and network business. We believe our focus on customer success, combined with multiple sources of strong growth, position us very well to reach our $1 billion revenue run rate target in 2020. With that, I will turn it over to Tim.
Tim Cabral: Thanks Peter. I was pleased with our Q3 results. Total revenue was $106.9 million, up 28% from $83.8 million one year ago, and above the high end of our guidance. Overall, demand for our solutions continues to be robust, but specially within Vault and some of our newer products. This help propel non-CRM revenues, over 25% of total revenue for the first time this quarter. Prescription revenue was up 33% to $81.7 million from $61.4 million last year. Each of our major product categories contributed to the strength of our subscription revenue growth. Zinc products also contributed more revenue than expected in the quarter. For the full fiscal year, we remain on-track to generate growth of about 20% from our multi-channel CRM suite of products, and well north of 100% from our non-CRM products. Our services business contributed materially to our revenue outperformance in the quarter, with revenue of $25.2 million, up from $22.4 million last year. This result was driven by several factors, including multiple project milestones that were completed in Q3, which was earlier than expected. A quicker ramp on global CRM rollouts, and stronger services demand for Vault's projects. Given these dynamics and the seasonal slowdown that we generally see in Q4 services project, we expect services revenue to be down sequentially next quarter. The geographic mix of revenue remain relatively stable at 56% from North America and 44% from outside North America, based upon the estimated location of users. In discussing the remainder of the income statement, please note that unless otherwise stated, all references to our expenses and operating results are on non-GAAP basis, and are reconciled to our GAAP results in the tables from our press release, which is posted on our web site and filed with the SEC. Also note, that these results reflect only one month of the acquired Zinc business. In Q3, our subscription gross margin was 79%, an increase of approximately 140 basis points from a year ago. This was driven by the continued growth of Vault network and CRM add-ons, which had a slightly higher gross margin profile, relative to our core FFA product. Services gross margin for Q3 came in just below 30%, down slightly from 31%, both sequentially and one year ago. Services gross margin was helped by the aforementioned milestones recognized in the quarter. Our total gross margin for Q3 was about 67%, an increase of over two percentage points from one year ago, but slightly down sequentially, due to the higher proportion of services in our revenue mix, and the effects of the zinc acquisition. Recall that the deferred revenue acquired from Zinc was partially written down, due to the purchase accounting rules. There was a full cost for the month of October that we will recognize in our P&L. Without the purchase accounting treatment to Zinc's deferred revenue at the time of the acquisition, our overall gross margin would have been roughly 50 basis points higher. Moving down the income statement, operating expenses grew 44% from the same period last year, driven largely by increased headcount. In Q3, we added 260 net new people, most of whom came from the Zinc acquisition, ending with a total of 1,383 full time employees. As Peter mentioned, we are thrilled to have the Zinc team on-board, and are very pleased with the integration progress. Overall, our operating margin at 26% in the third quarter was down as expected, by about 240 basis points from the prior year period. Two factors drove this change; first, as part of the Zinc acquisition, we incurred $1.8 million of onetime transaction costs, which is included in our non-GAAP G&A expenses. Second, the impact of the write-down of Zinc's deferred revenue on overall Q3 revenue was $1.6 million. Without these two factors, operating margin would have been slightly ahead of the prior year period, and in line with the first half of fiscal 2016. Net income for the quarter was $16.9 million, up from $13.7 million last year. Our non-GAAP effective tax rate of 40.2% is up from 36% last quarter, primarily due to tax adjustments related to the Zinc acquisition. We expect our non-GAAP effective tax rate to return to the high 30s in Q4; however, if the R&D tax credit is reinstated retroactively as it was last year, our Q4 tax rate would be materially lower. Our Q3 fully diluted net earnings per share was $0.12, up from $0.09 for the same quarter last year. Before turning to the balance sheet, I'd like to touch on FX. As we have discussed on previous calls, we typically bill about 80% in U.S. dollars, 10% in euros and the rest in other currencies. Consistent with our expectation shared on last quarter's call, our Q3 revenue was negatively impacted by approximately $1.9 million, or almost 2%, due to the changes in FX versus the same period last year. Assuming current rates remain static, we expect the headwind to be about $1 million on revenue in Q4, and roughly $7 million for all of this fiscal year, the low end of our previous expectation. Turning to the balance sheet; deferred revenue was $102 million at the end of the third quarter, compared to $109 million in Q2. This resulted in total calculated billings of $99.5 million. Its important to note, that Zinc's post-purchase accounting contribution of approximately $4 million on the date of acquisition, was included in the $102 million of deferred revenue. Excluding this $4 million, calculated billings was roughly in line with our combined billings guidance from the last earnings call and the Zinc acquisition call. Looking ahead to Q4, we expect year-over-year calculated billings growth of 23% to 25%. This implies growth for the year of roughly 19% for this metric, and we are still tracking to a normalized calculated billings growth of 30% for the year. Please remember that calculated billings is not necessarily an accurate indicator of the growth of our business in any given period, and is not a metric that we use internally to evaluate the business. Moving back to the balance sheet, we exited Q3 with $339 million in cash and short term investments, down from $438 million at the end of Q2. This nearly $100 million decrease was a combination of the $120 million upfront payment for Zinc. About $4 million in onetime CapEx related to the completion of our new headquarters' buildout, and partially offset by strong cash from operations, of $19.7 million. As we have said previously, our operating cash flows can be volatile quarter-to-quarter, so our cash flow performance is best evaluated on a last 12 months basis. Over the last 12 months, our cash flow from operations was $75.3 million, down 12% from the previous 12 months period, which is largely a function of the billings dynamics that I have discussed through the course of the year. I expect our last 12 months operating cash flow metric to return to moderate growth over the next several quarters and beyond. Also on the cash flow statement, you will notice that our total CapEx was $4.6 million. The majority of that was related to the final buildout of our new headquarters. The buildout is now complete, though some invoices will be paid in Q4, so next quarter expect about $1.5 million of buildout related CapEx. Next year, our quarterly CapEx should return to a more normal run-rate. Before turning to guidance, please recall, our financials in Q3 incorporate only one month of Zinc. Q4 will include the full impact of the quarterly cost associated with Zinc, though revenue will again be negatively impacted by purchase accounting adjustments. With that said, we expect revenue between $109 million and $111 million for the fourth quarter, which implies $404 million to $406 million for the year. For the fourth quarter, the revenue contribution of the Zinc business is expected to be around $4 million, after the effect of the purchase accounting treatment. As we head into next fiscal year, we will not be breaking out Zinc contribution, as we are well into the integration process and the distinction between revenue from Zinc products and from [indiscernible] will not be meaningful. We expect non-GAAP operating income of $25.5 million to $26.5 million for the fourth quarter, which implies $108.7 million to $109.7 million for the year. This Q4 guidance implies operating margins of 23% to 24%. After Q4, the effects from purchase accounting reductions will be minimal, though we believe that Q4 will represent a near term trough for operating margin performance. We expect non-GAAP net income per share of $0.11 for the fourth quarter, based on a fully diluted share count of approximately $145.5 million. For the full year, we now expect non-GAAP net income per share of $0.46 to $0.47, based on a fully diluted share count of approximately $145 million. We will provide detailed guidance for fiscal 2017 on our Q4 call, as we have done historically. However, given the recent Zinc acquisition, we are making an exception this year to provide an early revenue outlook. Our preliminary plan support total revenue growth in the mid-20s for next fiscal year. So in summary, I am excited about our Q3 results, and the current trajectory of our business. Based on our fiscal 2016 performance and initial views on fiscal 2017, we believe we are firmly on track to reach our target to achieve $1 billion revenue run rate in 2020. Thank you for joining us on the call today. And I will turn it back to the operator for questions.
Operator: [Operator Instructions]. Your first question is from Kirk Materne with Evercore ISI.
Kirk Materne: Thanks very much, and apologize for the background noise. I guess, to start, Peter, I was wondering if you could talk a little bit about some of the Vault progress you guys have made in particular on the R&D side? You guys obviously had your meeting in Philadelphia, your customer conference in Philadelphia. Can you just talk about the kind of relationships you're seeing emerge on the R&D side, the kind of – I guess awareness people have on the R&D side? And when you are talking about some of these bigger Vault wins, are they coming in through the commercial side or are you really starting to penetrate just directly on the R&D side? Thanks very much.
Peter Gassner: Kirk, if you look back a year ago, 18 months ago, 24 months ago, we had a lot of progress on the commercial side and on the clinical side with TMF. I think the big broad picture now for Vault on R&D is we are broadening outside of clinical to really also the quality area and the regulatory area, that's the big picture. And with that, because product portfolio is broadening across these three pillars, and we have more successful customers in each of these three pillars, we are being viewed as more strategic. So these are highly strategic and related areas of R&D, the clinical quality and regulatory area, and what we are finding is success in one area is leading to successes in other areas. So our relationship is broadly becoming more strategic and more broader in R&D. Now, if you talk about big Vault wins, one of the big ones we had this quarter, seven figure deal, was actually in the regulatory area, our first seven figure as measured by annual contract value, subscription value, seven figure deal for the Vault submissions product, and that's just an indication of how we are growing on the R&D. So it’s a very exciting area for us.
Kirk Materne: Thanks very much. Congrats on the quarter.
Peter Gassner: Thanks Kirk.
Operator: The next question is from Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle: Thanks so much. Peter, I was hoping to follow-up on the win you guys had on with the Network product. I was interested in what the used cases you were seeing there, and how folks were deploying those?
Peter Gassner: Okay. On Network specifically, Matt, why don't you take that one?
Matt Wallach: Sure. So yeah, we made reference to a couple large companies that are now deploying Veeva Network along with their Veeva CRM implementation. So the used case there is to get a clean version of their customer data. So this is all of the – it’s basically the white pages and the yellow pages of who all of the doctors and other licensed healthcare providers are, and all the places that they work, and the affiliations between them, and so it’s straight down the middle, for the reason that we started Veeva Network, and that's where we are having success; and it has been exciting, because this was something that we were starting with kind of one country at a time. In the past couple of quarters, this past quarter particularly, we have seen more regional -- these two global deployments. So that was -- the initial vision of the product was a single global customer master system, and that's exactly what we announced just a few minutes ago.
Brendan Barnicle: And Matt, when you look at your pipeline, do you see more of those deals, that are combination deals like that?
Matt Wallach: We do. So word is getting out -- basically, you can change the game in master data management. You don't have to have a separate customer master system in every country, but you can do this regionally and even globally. So I think there will be a lot of eyes on these first couple of major projects, and if history is a good indicator, after we have success with a couple of major pharma companies, we should be able to leverage that into an even more expanded pipeline across the industry.
Brendan Barnicle: Great. And then Tim, just a quick follow-up for you on that mid 20% growth for next year. How should we think about the services piece of that? Should that be more like the growth you have seen this year?
Tim Cabral: Yeah Brendan. We will certainly want to give more guidance in the next call, more specific guidance. So, we are not breaking out services and subscription on this call. So, why don't we leave that for next call if that's okay?
Brendan Barnicle: Okay. Thanks guys.
Operator: The next question is from Stan Zlotsky with Morgan Stanley. Stan Zlotsky, your line is open.
Stan Zlotsky: I apologize. I was speaking on mute. Thank you so much for taking my question. So to start off with, can you guys give us a sense for, what the ARR growth rate was in the quarter, and perhaps maybe break it down a little bit more into what it was organically, if you could?
Peter Gassner: So Stan, ARR growth rate is not something we have given before when we have talked about, of course, the subscription growth rate, which you saw in the quarter from a year-over-year perspective was 33%. The Zinc acquisition did contribute a little bit, but it was only one month of the Zinc business. So I would say the vast majority of nearly 100% was organic growth in that 33% subscription growth.
Stan Zlotsky: Okay. Are you guys contemplating ARR as something that you guys might start talking to next year?
Peter Gassner: Not something that we have talked about yet specifically, Stan. So I will leave it at that.
Stan Zlotsky: Okay. And then maybe just through -- and maybe you are not going to give an answer to this one either, the mid-20% guidance for next year, what kind of dynamics are you assuming there between non-CRM products versus the core CRM business?
Peter Gassner: Yeah, given the Zinc acquisition, we wanted to just give a little bit of a revenue outlook Stan, and the expectation is that we will give more detailed guidance for the full fiscal year in our next call.
Stan Zlotsky: Okay got it. I will just stop there. Thanks guys.
Peter Gassner: Thanks Stan.
Operator: The next question is from Amanda Murphy with William Blair. Amanda your line is open.
Amanda Murphy: Can you guys hear me?
Peter Gassner: We can hear you.
Amanda Murphy: All right. Sorry about that. So my question was around -- just a follow-up to something you talked about in the prepared remarks. Obviously Pharma consolidation has been a big topic of discussion. So I am wondering, can you just help us think about the impact to your business, both sides of the coin? So thinking about CRM, presumably SG&A synergies are a target there. So thinking about the impact to you from continuing consolidation on the CRM side and then also on the Vault side would be helpful? Thank you.
Matt Wallach: Sure, this is Matt. So as we stated before, the M&A activity among our customers has been neutral to positive for Veeva. The reason has been, because the bulk of the deals have been between companies and complementary therapeutic areas. And so we saw, that was the reason that Shire and Dyax, and AstraZeneca and ZS Pharma, even Pfizer and Allergan is a very large deal, obviously two top 20 pharmas, but those companies actually have very complementary strengths across therapeutic areas. So we expect that overall, across product lines, its going to be neutral to positive. Now U.S., specifically product line by product line, CRM obviously is going to be dependent upon the number of sales reps, which is not as dependent on number of companies, as it is on the number of products that are actively marketed. So if two companies combine, but they market the same number of products in the same number of therapeutic areas, then the size of the salesforce we have seen, generally doesn't change. On the Vault side, I think it’s a similar story, because generally companies that are combining will not stop clinical trials, and the Vault eTMF product is charged by the number of active clinical trial sites. The submissions product in the same regard, they are not going to shut down active R&D cycles, because of acquisition, and so I don't think that it really affects the submissions product. The one area that it potentially could is in quality, because it’s the total number of employees. But the product is licensed in pretty [indiscernible], not every single user, but thousands of users, or in some cases, even tens of thousands of users. So I think if you look across the product line, CRM and Vault, I think that you would see the effect would be as we have seen in the last 8.5 years, summarizes neutral to positive.
Amanda Murphy: Got it. Very helpful. And then just one quick follow-up there, so another topic of discussion usually I guess is that, just thinking about biotechs and volatility and then generally, drug pricing with Pharma, obviously a lot of focus on that, and clearly your results are quite strong, but I am curious, in your discussions with those companies, does that dynamic represents an opportunity for you going forward, or is there any risk there, just thinking about funding, potentially -- obviously some of them have still quite strong balance sheets, but just thinking forward on whether this is an opportunity or a risk for you in this space?
Matt Wallach: I see the -- so first of all, the number of biotech IPOs, whether that goes up or down, it doesn't really affect, to a great extent, our revenue going forward. Certainly, its good for everyone if there is more IPOs, but generally what you will see is less IPOs means more private financings. In biotech, if you have a potential drug that is going to do something unique, you can find funding for it. And so we really have never been affected at this company by the boom or bust in the IPO cycle, because the funding has not dried up for biotechs. In terms of drug pricing, I think that you are seeing a temporary lightening rod from the current political cycle. I think that it’s a bit overblown, but its fun headlines for sure. We certainly have not seen any impact. I don't think that there will be tremendous impact to us. But if drug pricing really does become affected through this political cycle, that the U.S. really starts to cut down and to do some of the things that other international governments have done, I think it would be probably both an opportunity and a threat. And it would be a threat, if company's budgets are going down, but it would be an opportunity that they would invest, to try to be even more efficient with things like technology. So I think overall, neither of those things, we see as risk to our business.
Amanda Murphy: Got it. Thanks very much.
Operator: The next question is from Richard Davis with Canaccord.
Richard Davis: Thanks. Brendan may have been getting at this, but I am just trying to triangulate around -- if we are kind of tracking towards 30% growth and we are having eight months of inorganic growth contribution, why should it -- next year be in the mid-20s growth rate wise, is that all services; because we have services kind of growing 15% next year, and we still got to high 20s. So maybe our Excel spreadsheet did not stop, but I am just trying to kind of triangulate around that? Thanks.
Peter Gassner: Richard, this is Peter. In terms of our outlook for next year, really pleased with that, with the mid-20s growth, and that's really solid growth across the board, as we scale. And then, we did make some comments specifically -- about Zinc specifically. And its important to remember about, that Zinc can be that overlapping products in the commercial content management area there. So what we have done is, we have moved quickly to combine those teams, they are no longer distinct businesses, they operate together, and so that's what you see in our outlook going forward. So overall, we are really optimistic about the future and our growth, particularly because its coming from multiple areas, multiple major markets, and that can fuel our growth, not just next year, but beyond that, because we are starting these seeds of multiple growth, and so that's why we feel confident to get to our $1 billion run rate in 2020.
Richard Davis: Okay. Thank you so much.
Operator: Next question is from Tom Roderick with Stifel.
Tom Roderick: Hey gentlemen, happy thanksgiving. Thanks for taking my question. Wanted to just kind of follow-up on the data point that non-CRM crossed over 25% of, I think total revenues in the quarter. So that's a pretty nice jump up from sort of last communication of that message, I know we have just a small contribution from Zinc ahead this quarter. But is there anything within the non-CRM that its taking a real step forward, or are we sort of seeing a continuation of similar growth rates on Vault's, just a little bit more contribution from Network, and then the Zinc Ahead contribution? And I guess maybe even behind that, are we starting to see an inflection point from Network and the OpenData products?
Peter Gassner: I think if you look at that 25%, really the bulk of that -- I would say the majority of that is really from Vault; because that's more mature in its product lifecycle, as compared to OpenData and as compared to Network. And if you look specifically in Vault, actually the largest part of that is on the R&D side. Now that's particularly exciting for us, because that's also a vastly underpenetrated area. So even though Vault is the fastest growing and the largest growing part of that 25% of revenue, its still a very underpenetrated at less than 5%. At high level, Vault is the big story of that 25%, and it has a lot of runway to go.
Tom Roderick: And when we turn to the CRM side of the business, what sort of add-on products are you starting to see create a little bit of a spiral [ph] effect for you there? I mean, I think you have always talked about sort of 15% to 20% pricing benefit. Is Approved Email starting to be a real contributor, and are you seeing anything else at that?
Matt Wallach: Tom, this is Matt. So COM continues to be very-very high penetration, almost every new CRm customer also by COM; and Approved Email is continuing to expand, and now is becoming significant, in terms of a revenue contributor. The other three are still early; Engage is still small and not contributing majorly. And then Events In line, we are still really in the early adopter phase. And so, we wouldn't expect significant revenue contribution from Events In Line until probably second half of next fiscal year. So we are going along as planned, the demand for these products is as we would have hoped. We have had actually a couple of breakthroughs on the event side as well. But even we signed this deals quickly, they are not going to contribute significantly to revenue until the second half of next year.
Tom Roderick: Got it. Tim, real quick last one for you; you may have communicated this, I am sorry if I missed it. Did you lay out what expectations might look like for deferred revenues in the fourth quarter or calculated bookings? I know you had laid out some targets for the year, prior to the Zinc Ahead acquisition and commented at the Analyst Day. Any update you can give us, or maybe just repeat from what you said on the call on that point?
Tim Cabral: Sure. In my prepared remarks, what we talked about for Q4 was an actual calculated billings, performance of between 23% and 25%, which would land as per the overall year, right around the 19% calculated billing number. However, with that said, we are still in line for the 30% normalized calculated billings number that we have discussed in the past call.
Tom Roderick: Got it. Any change to how you have been thinking about the Zinc Ahead contribution relative to the last four months of the year, as you had laid out before?
Tim Cabral: No, not necessarily any change from the Zinc acquisition call that we talked about Tom, in terms of billings specifically.
Tom Roderick: Got it. Okay. Very helpful. Thank you guys.
Operator: The next question is from Sterling Auty with JP Morgan.
Sterling Auty: Thanks. Hi guys. In the prepared remarks, you talked about faster CRM roll-ups. Can you maybe give us a little bit more color? Is it some of the multiyear large implementations that you are referring to or some of the shorter term? And how might that play out in the coming quarters, in terms of new services and subscription revenue?
Matt Wallach: We are referring more to the larger ones. Smaller CRM implementations are pretty predictable now. The larger ones, there is a lot more moving parts, deploying a CRM system to 50 or 100 countries. Some times what we have found over time is that, the assumptions at a beginning of a project, many of them changed by the time you are done. So what we have seen, is a couple of large ones that are going extremely well, where all of the contingencies were blowing right through them, because we are just not hitting roadblocks. So it’s the larger ones that we are referring to there, Sterling.
Sterling Auty: All right. Fantastic. On the -- [indiscernible] multiple quarters during the year, right, where we had customers doing the shift of renewal dates. Anything in this quarter, and maybe it might be helpful, just to remind us all, how that should unfold over the next couple of quarters, in terms of some of those larger renewals, and the impact it would have on billings?
Tim Cabral: Yeah Sterling, this is Tim. So overall, I would say, this is an area of -- that we look at as customer success. So when our customers do look to -- or need to, if you will, shift their renewal date, we are happy to have those conversations. And as you know, in some cases, we have made those changes. In terms of the Q3 results, if you recall, we did mention on the Q2 call, that there was going to be one realignment of a renewal date from Q3 to Q1, and that happened. But beyond that, there was nothing else significant that happened in Q3, which is why our billings was in line with the guidance or how discussed our billings. As it relates to into the future, under the umbrella of customer success, as those requests come to us, we will consider them and likely say yes, because we believe that adds value to the growing relationship that we have with our customers.
Sterling Auty: Okay. Thank you.
Operator: The next question is from Peter Lowry with JMP Securities.
Peter Lowry: Great, thanks. Can you talk about the pace of hiring in the quarter, and how you see the current recruiting environment?
Tim Cabral: Yeah. Peter this is Tim. So we actually, as you might have seen in my prepared remarks, we added 250 net new to the organization. A good chunk of that was the new Zinc team members. We are very excited they are on board here. We also added more than 100 folks to the ranks, throughout the quarter, and so it was a really strong hiring quarter for us. In terms of the recruiting or the employee environment, as you know, we recruit in many different geographies around the world. So that creates a little bit of risk mitigation from any one geographic talent pool. We do continue to be very competitive in the Silicon Valley market, where our headquarters are for, for really good product people, and we certainly hired our fair share this quarter. But around the globe, it was north of 100, in terms of adding new folks to Veeva this quarter.
Peter Lowry: Okay, great. Thanks. And then are you seeing adoption of the Veeva CRM Suggestions and what type of feedback are you getting on that solution?
Matt Wallach: Hi Pete, this is Matt. So first, just to remind everyone, CRM Suggestions is part of an upgrade for Veeva CRM, its not something that we charge separately. So even with additional uptake, that's not going to hit our revenue line. There is a lot of interest, first from partners, where we signed up additional partners. These will be the companies that do the actual predictive analytics that we then serve up through the Veeva Suggestions product screens, and from customers and prospects, who are interested in leveraging those capabilities. So its about what we would have expected, given the very positive response that we had to the launch of the product, or the announcement of the product in June.
Peter Lowry: Okay, great. Thank you.
Operator: The next question is from Karl Keirstead with Deutsche Bank.
Karl Keirstead: Hi. Thanks for taking my question. Question for you Tim on cash flows; I think more investors and analysts are valuing Veeva shares on a cash flow multiple. So getting our fiscal 2017 operating cash flow estimates right is pretty important. So your comment on that, was that in the next 12 months on operating cash flow, we should see a moderate growth compared to the prior 12 months. And I guess what I wanted to ask you is, is that a normalized growth rate for operating cash flow or in fiscal 2017, is that still weighted down by these changes in billing terms? And assuming it is, is there any guidance you could give us, as to what a normalized operating cash flow growth might look like in 2017? Thank you.
Tim Cabral: Yeah Karl, good question. We were thinking high level revenue outlook on next year of the mid 20s, but appreciate wanting to get that color. As we look at operating cash flows, historically, meaning the last 12 months, we do see the impact of the dynamics of the billings that we saw throughout the year, meaning moving some of that billings out to future periods. I think my comments on moderate growth would be more in line with historical growth rates from a cash flow perspective, as we think about next year. And all else being equal, given the fact that we have moved some of the billings, some of the renewals into Q1 of next year, that should help drive to that number.
Karl Keirstead: Okay. Thank you. And then as a follow-up, maybe you don't want to give this, but I will ask anyway. You mentioned 25% of your revenues, non-CRM; any specific color on Vault, given that you gave us that run-rate revenue number of I think $75 million last quarter. Are you able to give a comparable number this quarter, or would you prefer just to stick to that, a broader non-CRM number?
Peter Gassner: This is Peter, Karl. I think on that, we will stick to the broader number. In terms of that 25%, that is -- the bulk of that is Vault, and I want to expand on that a little bit. The big picture from Veeva, I think is we are becoming a go-to vendor for lifesciences, and this is really something unique, its something that hasn't been done before, really, as we are building our industry cloud. So while the bulk of that is from Vault, and we talked about new seven figure deals, and new application areas, okay, we got registrations seven figure deal, also had a significant deal in the study start-up area, brand new deal. I wanted to call attention to a little hidden gem here in the prepared remarks, which was the KOL data, seven figure deal, and that's something quite remarkable. This was from a small acquisition that we did back in April, about a small business around KOL data and services. I am really thrilled with that progress, and it shows what we can do with this industry cloud model. So we are taking that small business, and this is a crucial area for our customers. Understanding key opinion leaders, its crucial for drug launch and ongoing commercial success. And so we are investing in that business, and making it a global cloud-based solution. We are investing in Optic, to really make sure that we are the leader in that area, and we are turning it into an area, where you can get seven figure subscription deals per one country, per one customer. So I would say that, while in the rearview mirror, the bulk of that is involved and that's going to certainly continue for the next year or so. Right now we are planting the seeds for multiple long term areas of growth, and that's really how we get to our $1 billion of run rate in 2020. So that's probably the right way to think about it.
Karl Keirstead: Okay. Thank you both for those comments.
Operator: Next question is from Ken Wong with Citigroup.
Ken Wong: Hey guys. Earlier you talked about speeding through the Zinc integration and migration planning. How have customers responded to the migration message?
Peter Gassner: Thanks Ken. Really well; because I think what they have appreciated is our speed and clarity in the message. They have also appreciated that value that Zinc team brings in the domain expertise, with the Veeva team in the cloud, applications and platforms, so they see those synergies, and then our migration message has been very clear, that we will provide a clean migration path from Zinc products to PromoMats, and that will happen over the next coming year. So I couldn't be more pleased with the level of customer engagement and the level of customer goodwill that we are creating from this acquisition. It has been a real highlight of the quarter.
Ken Wong: Got it. So it does sound like the -- kind of the medium, longer term plan is to have the Zinc, move over to PromoMats at some point?
Peter Gassner: Absolutely. We have said we would support the Zinc products until for about five years. Now I expect the migrations to start in earnest, sometimes next year and the bulk of those to be handled over the next two or three years. So there is no confusion there, and the customers are really looking for that synergy, when we combine the Zinc domain expertise with the Vault product. So yeah, its really a very organized process.
Ken Wong: Got it. And then a quick follow-up for Tim, you mentioned $4 million contribution in Q4. Are you able to perhaps breakout what's subscription versus services in that number?
Tim Cabral: Yeah, the vast majority of that, Ken, is subscription.
Ken Wong: Okay, that's great. Thanks a lot guys.
Tim Cabral: Thanks Ken.
Operator: The last question is from Steven Wardell with Leerink Partners.
Steven Wardell: Hey guys. So my question is, which of your products, today, sell on a global basis, and are there any other of your products that you think you will be able to sell on a global basis in the future?
Matt Wallach: Hi Steven, this is Matt. So the CRM product, the multi-channel CRM is something that we have been selling on a global basis for about five years. And the larger the company, the more likely they are to be running a global CRM program. We think about Vault, in almost every case, we are selling into global companies, and we are selling global projects. Particularly on the R&D side, quality, clinical and regulatory, those are global systems, and on the commercial side, we have seen a lot of the medical -- MedComms deals be global, and PromoMats, sort of started regional. We just finished, actually, in this past quarter, our largest global deployment across several thousand users at a large pharma company, and I think that that will help set the stage for additional global deployments there. So Vault generally is global. Veeva Network and OpenData have always been regional, so master data management and referene data have always been regional. We talked a little bit on the call so far that, we have some progress in making Veeva Network more of a global offering, and we still have a lot of work to do, in creating reference databases for OpenData, to make that a global offering. But that is where we are heading there. And then the last one is, our KOL business, which Peter was just talking about. So the KOL business is a business that has never been global KOL data has always been regional and even regional by brand team, by department. We are trying to create a single global subscription, and so we are working with one of our large customers, they think that they buy KOL data, about 250 times a year. What we are talking to them about is a single place where they will get all of their KOL data. And so, its going to be transformational or successful there, but we are still early on the KOL data side, and making that a truly global offering. But that's an interesting question. Thank you.
Steven Wardell: Great. Thank you.
Operator: I will now turn the call over to Peter Gassner for closing remarks.
Peter Gassner: Hey, thanks for joining us. We are very pleased with our strong execution for the quarter, and I would like to thank our employees and customers. And I'd like to take a moment to welcome the Zinc employees and customers to the Veeva family as well. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.